Operator: Good Day and welcome to the Lowell Farms Inc., Fourth Quarter and Year End 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note, this event is being recorded.  I would now like to turn the conference over to Bill Mitoulas, Investor Relations. Please go ahead.
Bill Mitoulas: Good afternoon, and welcome to the conference call to discuss the Lowell Farms Incorporated financial results for the fiscal fourth quarter and year end of 2022. Before we begin, please let me remind you that during the course of this conference call, Lowell Farms Incorporated management may make forward-looking statements. These forward-looking statements are based on current expectations that are subject to risks and uncertainties that could cause actual results to differ materially from expectations. These risks are outlined in the Risk Factors section of our Form-10 filed on EDGAR and our listing statement filed on SEDAR. Any forward-looking statements should be considered in light of these factors. Please also note that any outlook we present is as of today, and management does not undertake any obligation to revise any forward-looking statements into the future.  This call includes Ann Lawrence the newly appointed Chair Person of the Board for Lowell Farms; Mark Ainsworth, Co-Founder and Chief Executive Officer, as well as Chief Financial Officer, Brian Shure will go into detail about the company's financial results for the quarter later in the call. The Q&A portion of this call is open to analysts' questions to provide further insight into the company's performance, operations and go-forward strategy. We will not be answering any questions that relate to the pending transaction.  For those of you who may happen to leave the call before its conclusion, please be advised that this conference call will be recorded and archived on our Investor Relations website page.  And now, I'll hand the call over to Ann. Ann, please go ahead. 
Ann Lawrence : Thanks, Bill, and thank you for joining the Lowell Farms earnings call. I wanted to take a moment to provide insight into our recent press release, announcing the execution of a binding letter of intent to sell the intellectual property relating to the Lowell brands and the Lowell 35 approval, as well as the rationale behind the decision.  On January 12 of this year the company announced that it had retained Canaccord Genuity Corp. to assist in its ongoing review of strategic alternative. The Board of Directors formed a special committee of independent directors to explore, review and evaluate strategic alternatives available to the company to maximize shareholder value. The special committee was shared by myself and Summer Frein, another independent member of the Board of Directors.  The special committee undertook a range of activities to enhance the company's working capital position, including a reduction of the company's workforce, as well as renegotiating contract terms with landlords, customers, suppliers and trade credits. The special committee also considered strategic alternatives to address the pending maturity of the company's senior secured convertible debentures issued in April 2020 and August 2022, which mature later this year in October, at which time an aggregate amount of approximately $23.675 million comprised of principle and interest would be due and payable.  During this process, the special committee received a proposal from the company's then Chairman, George Allen on behalf of Geronimo Capital LLC, as collateral agent of the debentures. This proposal offered to settle the debenture obligations in exchange for certain intellectual property assets and shares of the company. The special committee, together with its advisers, negotiated the debt settlement terms, which ultimately resulted in the execution of the LOI.  The special committee has concluded that there are no viable alternatives available on commercially reasonable terms that would be more likely to improve the financial situation of the company as compared to the proposed transaction, the net effect of which will be to eliminate all amounts owing pursuant to the debentures.  The LOI between Lowell Farms and Geronimo Capital sets out the general terms in the transaction, and the parties have agreed to negotiate the precise terms, leading to definitive agreements in the next couple of weeks.  I would like to provide you with a few material details of the transaction. First, Lowell Farms will be relieved of all amounts outstanding under the debentures, leaving the company essentially debt free, other than an existing mortgage on one of our real property licensed facilities.  The company will sell the intellectual property arising out of or relating to Lowell Herb Co products, including Lowell Smokes and Lowell 35 approval, as well as the existing out of state license agreements. The company will continue to be the exclusive manufacturer and distributor of the Lowell brand within the State of California and will have a minimum 42 month exclusive license agreement for use of the Lowell Smokes and Lowell 35’s brands within the state.  The new entity formed by Geronimo Capital will require approximately 111 million shares of the company's subordinate voting shares, representing in the aggregate an amount equal to no more than 49% of the then issued and outstanding number of subordinate voting shares. Throughout this process our goal is to reach the best outcome for the benefit of the company, our team of employees and our shareholders. We received interest from many parties, fielded thorough due diligence from prospective seaters [ph], and evaluated multiple offers with varying structures.  The specialty ultimately determined the best offer for existing Lowell Farms investors wish to sign an LOI with Geronimo. When this transaction closes, I believe Lowell Farms will be uniquely positioned to refocus and capitalize on market opportunities within the industry, and the company is continuing to work with Canaccord to explore opportunities in the market.  With that, I'll turn it over to Mark, who will go over fourth quarter and our year end operation results. Mark, please go ahead. 
Mark Ainsworth : Good afternoon, everyone, and thank you Ann. I would like to jump into our Q4 earnings call and share the progress of Lowell 35’s approvals. Lowell Herb Co. 35 pre-roll product started in Q4 with sales in 16 retail stores in California, and by the end of Q4 ’22, had expanded the selling into 215 retail stores. In Q3, 2022, 35s revenue was $86,000 and in Q4, 2022 revenue increased to approximately $800,000.  During this period we also introduced three additional skews of 35s bringing the total product line to six skews. This is a great accomplishment for our team, demonstrating excellent execution and efficient use of our vertical infrastructure. The overall Lowell pre-roll category had an 11.4% quarter-over-quarter growth, with revenue of approximately $2.59 million in Q3, 2022 and $2.89 million in Q4, 2022.  Moving on to the remaining categories and our CPD portfolio of own brands, revenues fell approximately 14%, with Q3, 2022 revenue of approximately $6.3 million and Q4, 2022 revenue of approximately $5.4 million. We attribute the decline in revenue partly to the contraction of overall retail sales in California, and partly to our concentrated effort to improve the integrity of our cash flow by tightening customer credit terms and employing credit also to enforce payment arrangements. Our team has done an excellent job establishing new policies and progresses to safeguard against potential credit risks from retailers.  Lastly, the agency and distributed brands revenue fell from approximately $180,000 in Q3, 2022 to approximately $158,000 in Q4 2022. In the past several quarters, we have reduced our agency and eliminated our distributed brand partners due to unfavorable economics. However, in Q4 we have brought on one new distributed brand client under new agreements with favorable terms.  Regarding bulk sales, our strategy for the quarter was to divert a portion of biomass from CPG sales to our bulk sales teams. Historically, retailers tend to tail off in the remaining three weeks of the year to lean out inventory as they prepare for year-end taxes. This strategy aims to shorten the credit cycle as bulk sales are on COD terms.  The team sold approximately 6.4 thousand pounds of finished flower from our cultivation, generating revenue of approximately $2.8 million, a sequential increase of approximately 42% over the prior quarter’s $1.9 million. This positive result was due to a slight increase in the average price per pound in the period.  Moving to the cultivation, our operations have demonstrated consistent year-over-year results, producing approximately 8,369 pounds of finished flower with an average potency of 27.6%. In 2022 the total cultivation output was roughly 37,000 of our flower. Our grow team is continuously refining genetics to improve performance in our grow houses and align with our bulk and retail channels.  Regarding Lowell Farms services, we processed approximately 200,000 pounds of wet weight biomass during the period, and approximately 130 pounds of biomass coming from our Zabala cultivation site and approximately 70,000 pounds from third party client.  Our processing team also trimmed approximately 11,000 of finished flower in the period. During the previous period Q3, Farms Services processed 160,000 pounds of wet weight flower with Zabala cultivation contributing approximately 135,000 pounds of wet weight biomass, and a delta of approximately 24,000 pounds coming from third party clients.  Revenue in the period at LFS was approximately $549,000, up approximately 116% from the previous periods revenue of $254,000. Both farms launched new out of state licensing partnerships in Colorado and New Mexico in November. Total out of state licensing revenues of approximate $289,000 in Q4, 2022; however, this was a decline of approximately 7% from the previous quarters out of state licensing revenues of approximately $310,000.  During the period, the total number of classic Lowell Smokes packs sold was approximately 63,000, which was slightly down from approximately 64,000 units sold in the prior period. Toward the end of the period, we initiated cost saving measures that continue into Q1, 2023 in response to the consecutive decline in revenue. As part of this effort we implemented a reduction in force that impacted eight employees at varying levels, resulting in an annual savings of approximately $550,000.  With that, I will turn it over to Brian. 
Brian Shure: Thank you, Mark, and good afternoon everyone. Before I begin, please note that we are reporting our Q4 and fiscal year 2022 financial results in U.S. GAAP and a portion of my commentary will be on a non-GAAP basis. So please refer to today's earnings release for a full reconciliation of GAAP to non-GAAP results.  We report all figures in U.S. dollars unless otherwise indicated. I would also note that these results are audited, and that our annual report Form 10-K will be filed presently with the SEC and CSC.  We are reporting Q4 revenue of $9.3 million, up 7% sequentially and down 38% year-over-year. CPG revenue declined 7% sequentially to $5.7 million and declined 35% year-over-year. Despite the decline in CPG revenue, Lowell brand revenues remained strong finishing the year at $19.6 million. Lowell brand revenues were 83% of CPG revenues in the current quarter, compared to 82% last quarter and represented 69% of CPG revenues in the current year, compared to 52% of CPG revenues in the prior year.  The bulk flower revenue increased 42% sequentially to $2.8 million and increase 66% year-over-year. The increase from Q3 is due to both pricing increases as well as volume increases. Lowell Farms Services revenue increased to $0.5 million compared to $0.3 million in the prior quarter.  LFS revenue for the year was $3.7 million compared to $4.6 million in the prior year. Out of state licensing revenues decreased 7% sequentially to $0.3 million and decreased 4% comparing the full year 2022 to 2021. 2022 out of state licensing revenue was $1.6 million.  Margin as reported was negative 32.4% in the fourth quarter, compared to negative 21.9% sequentially and negative 12.3% year-over-year. In the fourth quarter, the margin decline was due to inventory write downs, prior period variances, selling aged bulk flower below cost and lower volumes in CPG sales.  On an annual basis, year-to-date gross margin as reported was negative 4.2% compared to positive 4.6% in the prior year. Excluding the effect of the adjustments identified above, gross margins would have been 6.0% for the year.  Operating expenses were $3.4 million or 37% of sales for the quarter compared to $3.3 million or 38% of sales in Q3 this year and $6.3 million or 42% of sales in the fourth quarter last year, reflecting cost reductions realized year-over-year. The operating loss in the fourth quarter was $6.4 million compared to an operating loss of $5.2 million sequentially and an operating loss of $8.2 million year-over-year, reflecting lower margins in the current quarter. Net loss for the fourth quarter was $11.1 million compared sequentially to a net loss of $4.8 million, which compares to a net loss of $10 million in the fourth quarter last year. Adjusted EBITDA in the fourth quarter was negative $4.1 million compared sequentially to adjusted EBITDA of negative $3.5 million and adjusted EBITDA of negative $5.4 million year-over-year. Adjusted EBITDA for the year was negative $9.6 million compared to negative $14.4 million in 2021. Without the impact of the adjustments itemized above, adjusted EBITDA for the year would have been negative $5.1 million. Turning to the balance sheet, working capital was negative $13.1 million at the end of the year compared to $21.3 million at the end of 2021. Included in the 2022 working capital is $21.4 million of net convertible debentures. Excluding these from working capital, there is $8.3 million of working capital at the end of 2022. The company had $1.1 million in cash compared to $3.3 million at the end of the third quarter. Capital expenditures of $1.3 million were incurred in the fourth quarter and were used primarily for the purchase of additional equipment for the Lowell 35s.  With that, I’ll turn the call over to the operator for questions. 
Operator:
Mark Ainsworth: Thank you again for joining the call and taking the time to get an update on our business. We look forward to talking to you on our next earnings call. 
Operator: This concludes our conference. Thank you for attending today's presentation. You may all now disconnect.
Q -:
A -: